Operator: Good morning, and welcome to Boston Properties' Fourth Quarter Earnings Call. This call is being recorded. [Operator Instructions]. At this time, I'd like to turn the conference over to Ms. Arista Joyner, Investor Relations Manager for Boston Properties. Please go ahead.
Arista Joyner: Good morning, and welcome to Boston Properties Fourth Quarter Earnings Conference Call. The press release and supplemental package were distributed last night, as well as furnished on Form 8-K. In the supplemental package, the company has reconciled all non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G requirements. If you did not receive a copy, these documents are available in the Investor Relations section of our website at www.bostonproperties.com. An audio webcast of this call will be available for 12 months in the Investor Relations section of our website. At this time, we would like to inform you that certain statements made during this conference call, which are not historical, may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although Boston Properties believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, it can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from those expressed or implied by forward-looking statements were detailed in Thursday's press release and from time to time, in the company's filings with the SEC. The company does not undertake a duty to update any forward-looking statements. Having said that, I'd like to welcome Mort Zuckerman, Executive Chairman; Owen Thomas, Chief Executive Officer; Doug Linde, President; and Mike LaBelle, Chief Financial Officer. During the question-and-answer portion of our call, Ray Ritchey, our Executive Vice President of Acquisitions and Development, and our regional management teams will be available to address any questions. I would now like to turn the call over to Mort Zuckerman for his remarks.
Mortimer Zuckerman: Good morning, everybody. This is Mort Zuckerman. Let me spend a little bit of time talking about the economy – since we all work within that environment. The mood out there is really quite despondent. In the recent poll only 40% of Americans say they are satisfied with the economy, this erosion of support is because we are undergoing the weakest recovery from our recession since World War 2 and they have restored the benefits of a rebounding economy have not reached a significant percentage of Americans. In manufacturing we have 300,000 fewer jobs compared to when Obama took office and 1.5 million fewer total jobs than before the recession. Adjusted for inflation the average wage for an employee in America has increased by a mere 2% since Obama took office and half of that is because of increased hourly pay and the other half is because of increased hours. Ordinary folks are just not sharing the little wealth that has been created. Fortunately lower gas prices have put about $7.5 a week into the average wallet, but the President has lost much of his credibility interaction with the public and so is the Congress. The President is trying to shift all the next tax burdens as a tax on capital or wealth rather than on income or wages and the Republicans want to find ways to help the middle class primarily through a much stronger job market which they don’t believe will come out of the Obama approach. But it’s that kind of environment that is still the background for what we are all working in. A year ago 65% said the gap between the rich and everyone else had grown over the last ten years and 90% of Democrats and 45% of Republicans want to do something about this gap. So it’s going to be a very interesting political year with the Republicans in charge of the Congress and the President of course as the Chief Executive on the other side of just about every issue. Fortunately for Boston Properties and its activities and strategy, we have been able to do and continue to do quite well given the fact that we are focused in certain markets and in certain developments within those markets, so I will say to you that we still believe there is a market for what we do. And I think we will be able to describe this as you hear from my colleagues in a little while. I have a little bit of an additional announcement. As you all know at the end of 2014 I completed my previously announced move from Executive Chairman to Chairman of the Board of Directors of Boston Properties. I will still be active in the company and I will obviously continue to share my views on the economy, on the markets and the company’s activities with our Executive team and Board of Directors. By way of background, I’m just going to say this. I found that Boston Properties nearly 45 years ago my long time partner and great friend the late and very talented Ed Linde, he joined me six months later. We shared a simple philosophy of building and buying first class buildings in first class locations, and first class markets. That may sound simple but it was a lot more difficult to execute. It was made possible primarily because of the wonderful group of people who joined the company over the years and helped grow Boston Properties. And to one to the largest and I sincerely believe one of the most respected real estate times in the country which remains true to this day. I believe it will continue given an outstanding management team who will continue to ensure that Boston Properties thrives and prospers. I look forward to remaining active as a Chairman of the board and continuing to provide my support to the company’s efforts. I want to thank you all for supporting the company for the years that I have been involved and I wish everybody well. With that I will just turn the telephone over to my colleagues.
Owen Thomas: Okay. Good morning, everyone, it’s Owen Thomas. Thank you very much Mort. You and Ed Linde certainly built a remarkable franchise over the last 45 years and all of us have walked in properties are very grateful for all your successes on the company’s behalf and we look forward to continuing our work together with you as Chairman of the Board. This morning I want to address the economic and operating environment, our performance for the fourth quarter and provide an update on our capital strategy and related accomplishments. Let me start with the environment, Mort touched on some of this. We’ve all experienced rather significant and at least in my opinion unexpected volatility in a number of capital and commodity markets over the last quarter. As we all know oil prices have dropped to $45 a barrel -- basically dropped in half in just the last three months. European economies continue to suffer declining economic growth and inflation prompting strong action by the European Central Bank which initiated a new and aggressive QE program. Many other Central Banks around the world have and will continue to take comparable actions. China announced 7.4% GDP growth for 2014 its lowest level since 1990. Lower interest rates and slower growth outside the U.S have prompted a roughly a 15% rise in the trade weighted dollar over the last six months, and importantly lower interest rates around the world have sparked a reduction in our rates here in the U.S. The 10-year has dropped another 40 to 50 basis points in the last quarter to a level of around 1.8% today. U.S economic growth has remained reasonably robust; the forecast for this year or for 2014 is around 2.5%. You just saw our fourth quarter announcement of 2.6% and the unemployment rate which more discussed has dropped under 6, though under employment remains definitely high. So, what does all this mean for Boston Properties? Starting with the property markets. In the short term there has not been nor do we expect much change. We’re not active in any energy driven markets, so we see no direct impact to our tenants from falling oil prices and their associated negative impact on capital investment and employment in the energy sector. We continue to see healthy economic growth in San Francisco, Boston and New York driven by technology and other creative tenancy, while downtown Washington, D.C are driven more by government and law firms continues to experience more difficult leasing conditions. The longer term impacts of all the recent market moves are more difficult to discern. Lower energy prices should be healthy for consumers, however low oil prices will have a negative impact on energy sector and a stronger dollar will be an obvious headwind for exporters and the U.S. companies with significant non-U.S. activities as evidenced by some earnings reports over the last week. Now moving to the impacts on the capital market for real estate. Lower interest rate can only add to the aggressive pricing we witnessed for assets in our core markets. Further the downward pressure on growth and interest rates outside the U.S. has likely pushed back the timing for the inevitable increases in U.S. rates. Acquisitions will likely remain as competitive as ever and we believe we can be more patient in the pace of our asset sales and in company financing activity. Now let me move to results for the fourth quarter. We continue to perform well and made excellent progress in the execution of our business. FFO for the fourth quarter was $1.26 a share which is a $0.01 above consensus forecast. We completed 88 leases in the fourth quarter representing 2.2 million square feet with the New York region being the largest contributor at nearly half the leasing volume. This level of leasing activity is roughly 70% higher than our quarterly averages. And for all of 2014 we executed 362 leases representing 7.8 million square feet of activity an annual leasing record for Boston properties. The record level of leasing is being driven by not only new development activity but also the early renewals of several significant law from tenants, primarily in New York but also in Washington, D.C. Our in-service properties in the aggregate are 91.7% leased down 0.3% from the end of the third quarter. Now moving to capital strategy, as mentioned our approach will remain consistent with what we have communicated in prior quarters. Given that prime assets in our core markets are trading at higher prices per square foot and lower yields than where we can develop, we will likely continue to be net sellers of real estate while reinvesting raised capital into new development. Starting with acquisitions, the pursuit of acquisitions remains active but challenging. New investments considered have some type of competitive angle for us, such as providing tax protection through the use of operating partnership units is consideration; working with a financial partner on specific assets or involving properties with a development or redevelopment component where we add value to our expertise. We also continue to be active in our disposition activity. In the fourth quarter we completed the sale of Patriots Park, the Norges Venture on 601 Lexington Avenue Atlantic Wharf office and 100th Federal Street and the sale of a small land parcel [ph]. With these three transactions along with the sale of five additional smaller assets we sold $2.3 billion in 2014 at 4.25% aggregate cap rate resulting in a $4.50 special dividend to shareholders and the remaining capital to be invested in developments we expect to yield around 7%. Turning to dispositions for 2015 we intend to remain active. We will continue to focus on non-core assets and transactions where pricing is very attractive relative to the cash flow growth characteristics of the assets. Our expectation is that we will likely have a greater number of smaller transactions in 2015 totally in excess of $750 million in total dispositions. In early January we restored the contract for the sale of our lease hold interest in the Avenue at a net price of $190 million. The Avenue is a 335 unit Class A apartment building with 50,000 square feet of associated retail located adjacent to George Washington University at Washington Circle and is encumbered by 54 year remaining ground lease. The sale was completed at a 4.1% cap rate; our basis in the asset is $95 million and the total unleveraged return to shareholders from this development is 15.2%. The transaction is scheduled to close in the first quarter and is another great example of the value we add for shareholders through our development activity. We continue to emphasize development for our new investment activities given the opportunity we see to recycle capital from the sale of our older buildings into new projects with higher returns. We did not fully place in service any new assets in the fourth quarter and did add the previously discussed 15,000 square foot expansion of the Prudential Retail Center to our active pipeline which now consists of 11 projects representing 3.3 million square feet with a total projected cost of $2.1 billion. Our development pipeline is in the aggregate 58% preleased. However, we had a number of important accomplishments in our pre development pipeline which Doug will cover in more detail in his remarks. Most importantly we completed our joint venture agreement with Delaware North for the development of the 1.8 million square foot mixed-use North Station project located adjacent to the Boston Garden. Further we were able to add two potential projects to our pre development pipeline aside at 4th & Harrison Street in San Francisco and a renovation of potential development at the Back Bay Transit Station in Boston. We are now actively engaged with development projects at two of Boston's three major transportation nodes. We continue to be in the pre-development stage on a significant set of projects with strong potential in all our markets. Over the next year, we expect to be able to add approximately $1 billion in new projects to our active development pipeline, which is followed by a significant number of additional projects for future years all of course, subject to market conditions. Let me turn the discussion over to Doug for a further review.
Douglas Linde: Thanks, Owen. Good morning, everybody. Talking to you here from snowy Boston, where we've recovered from the blizzard of January 2015. We were – in fact, were closed on Tuesday, so we couldn't physically get here, there was a state of emergency. All the roads were closed. So we were unable to get our work out to you as we'd hoped. But we got it to you last night and here we are this morning. I'm going to organize my comments into three segments today. The current state of our operating markets, I'm going to give you a short update on our existing development pipeline. And then I'm going give – put a little bit more meat on the bones of our future development activities. Consistent with Owen's remarks on the overall US economy as we enter 2015, the overall health of the office markets, in our opinion is stronger today than it was 12 months ago. And why do I – why do we say this. Well, first and foremost, it's the demand from the technology and the life sciences businesses that's really driving things, and it continues to be very strong. In 2014, there was more capital deployed in the start-up ecosystem than in any year since 2000. Venture capital investing in 2014 was over $48 billion and included more first and second round investment than at any time since 2001. The Silicon Valley and New York City and Boston dominate the share of those investments. In 2014, the top 20 technology leases in San Francisco totaled almost 3.8 million square feet of demand. The average of the previous four years, which all were strong years, was 1.9 million square feet. In Massachusetts, we had 17 biotech IPOs in 2014 compared to 9 in 2013. And while the demand from traditional office tenants in the legal and the large financial services sector is not expanding, we believe we're getting much closer to the end of the law firm and financial services space reductions, stemming from changes to space utilization and downsizing. And we're seeing small financial firms expanding and absorbing high quality, premium office space. One of the DC brokerage firms actually estimates that 80% of the law firms in the DC market have gone through their downsizing cycles. So we're getting closer to the end. We had a terrific year on the leasing front, judged by our gross volume of activity. And that was driven in large part by the Salesforce.com lease at Salesforce Tower, and our strategic decision to go get in front of our major law firm expirations. So in 2014 we completed six leases with law firms, with expirations from 2015 to 2022, totaling over 1.4 million square feet. As you can see from our leasing statistics in the supplemental, the mark-to-market we've been describing in Boston was 38%, and in San Francisco 22% positive, all running through the portfolio as we've talked. The Boston figures are dominated by 139,000 square feet of leases in our Cambridge portfolio, where there was a net increase of over 50%. The New York City portfolio had a very small down hit this quarter, largely due to the fact that the majority of the deals were coming from Princeton, where there were limited transaction costs. And there was only one Manhattan deal in the stats and it was actually a short term extension on a piece of space that was signed in 2010. So, really very irrelevant. And in DC, those supplemental statistics are really biased by the NII bankruptcy, which resulted in a leased piece of space that was sublet, converting to a direct lease with Leidos in Reston Town Center, and that resulted in a $5 a square foot reduction in rent on 72,000 square feet. If you pull that out, our transactions in DC were actually up 12% on a net basis. Last quarter, I provided a leasing roadmap for our 2015 earnings projections. This morning my focus is really on the current market conditions that are impacting our portfolio. So let's start in Washington, DC. The Washington, DC, CBD market continues to be very competitive, since there really hasn't been any significant increase in demand. In the face of this, our DC team is making significant progress on the future explorations which are found in our 50% owned JV properties in the CBD. In December, we completed 250,000 square foot early renewal at 901 New York Avenue where this law firm downside by only 15%. In three assets, where we have upcoming rollover due to law firm relocations, we are competing for and wining market share. At 901 New York Avenue we’ve 90,000 square foot lease expiration in 2015 and we have leases signed or pending for 55,000 square feet of that space. At Market Square North, where we’re getting 90,000 square feet back, we have leases pending on 60,000 square feet. And at Metropolitan Square at the end of the year we have a 122,000 square feet lease expiring at the top of the building and the space is probably some of the best space in the entire portfolio and then in the entire city. It does continue to be a [indiscernible] supply coming into the DC market in the form of partially let buildings for lead tenants, not unlike the building we’re building at 601 Mass, as well as speculative new construction in the CBD NOMA in the Southwest market. Reston, which offers walkable retail and a great mix of offers in multifamily continues to drive tenants. Small tenant demand is strong. And Bechtel which move to Reston Overlook in July of 2012 continues to relocate additional employees into the Town Center and we are working hard to find space to accommodate their growth. As we described last quarter and NII filed for bankruptcy, and it resulted in about 72,000 square feet space moving to direct lease with Leidos, a 21,000 square foot expansion by Google to take some of that space, and about 63,000 square feet of immediately available uncovered exposure. The Omnibus Federal Spending Legislation that was signed in December may result in some limited spending increases in the defense and homeland security areas. And if this finds its way into the program associated with Fort Meade such as the Cyber Command, it should improve our opportunity to see enhanced leasing activity at our JV asset up at Annapolis Junction. Four of those law firm transactions I talked about were completed in New York City in the portfolio in 2014. And as I said earlier this was a strategic decision since these tenants were all evaluating the large blocks of space available both Downtown on the Far West side and those blocks that were going to become available due to the some of the tenant relocation such as Conde Nast and Time down from the Midtown West market to the Downtown market. The economics we achieved in these transactions recognized the locations of our buildings in contracts to the potential competition, in other words, we got paid for the kind of sales we had. We didn’t compete on price. In the case of Weil, we were also able to take a floor back on December and have already listed in an average mark-to-market of over 60%. We also completed an early renewal at the top of the building with the mark-to-market on the initial rent is over 25%, so to give you a sense of the embedded upside at the General Motors building. We’re actively working to release a 173,000 square feet of our Citi [ph] exposure at 601 Lex that occurs in mid 2016, 90,000 square feet of that is on floor 15, 16 and 17, and we’re under discussion and working with Citi on an early termination and a lease-back. The rest of the space is in the Annex building, the low-rise where we expect to commence a major redevelopment in 2016. Activities are high in the New York City, rents over a $100 a square foot was almost 1.9 million square feet, which was more than double the activity in 2013, and its risen from the nadir in 2009 of under 200,000 square feet. We have leased our last available floor at 510 Madison Avenue. While the majority of the high end activity is still under 40,000 square foot on a unit basis and the new leases averaged about 12,000 square feet as oppose to the renewals. Larger transactions above $90 a square foot are becoming more and more frequent on Park Avenue and in the Plaza District. Princeton continues to outperform the New Jersey markets. We completed almost the 100,000 square feet of leases in the fourth quarter most expanding pharma companies, and we’re now in lease negotiations with another 250,000 square feet as we enter 2015. Turning to Boston, the Kendall Square area of Cambridge continues dramatically outperform the rest of the Urban Boston market and asking rents above $70 a square foot. Our prevalent and vacancy rate is under 8%. Migration out of Cambridge is now occurring. During the last half of 2014 three tenants move to space in the Financial District. The Back Bay and Downtown crossing, because they couldn’t find the space at an affordable price. In the Back Bay we are underway with our repositioning and re-branding at a 120 Clarendon, the Hancock Tower low-rise, where we have 150,000 square feet availability. Our asking rents on the low-rise space of the Hancock Tower are lower than the rents in Cambridge. When fully leased the available space of the Hancock should generate close to a 40% increase over expiring rents. The Waltham Metro West market continues to get stronger driven by expansion by life science and technology companies. Organic growth continues into 2015, a number of suburban life science and tech companies have announced its expansion. During the fourth quarter we completed another 175,000 square foot of leasing in the market including 61,000 square foot leased at Bay Colony. This was the space we toured during our Investor Conference in September bringing our total leasing at Bay Colony in 2014 to over 250,000 square feet. We have limited current vacancy in suburban portfolio, but we’re taking back our 170 Tracer Lane, which is 75,000 square foot building, and taking it out of service and repositioning in the spring and we’re going to be getting about 100,000 square feet back at Bay Colony in October. San Francisco continues to be the strongest demand in the country with expected Prop M restrictions is also going to be facing availability supply constraints. 2015 will be very similar 2014 with very limited rollover and flat occupancy in all existing portfolio. During the fourth quarter we completed eight more leases including a vacant leased floor at EC4 with starting rents in excess of $80 a square foot. What actively engage with over 250,000 square feet of full floor tenant with 2016 and 2017 lease expiration, some of these renewals will be with law firms where they are shedding some amount of space, but we see significant opportunities for rental rate increases for both the renewal and the recapture space. The average mark-to-market over this – on the starting rent on all these transactions is over 50%. Our current development pipeline continues to show strong leasing momentum. Wolverine took an additional 30,000 square feet at 10 City Point bringing the leasing in our project to 74%. We have three leases under negotiation at 888 Boylston Street, which would more than double our commitments to over 260,000 square feet. We’ve completed two additional leases at 535 Mission bringing us to 202,000 square feet of sign leases or 66% lease at the end of the year and we have a number of active full floor proposals under discussion there. We leased all of the office space at 690 Folsom, which was delivered in early December. The Avant, the residential building in Reston is now 84% leased after 13 months. 601 Mass Ave in Washington DC signed it first retail lease for 12,000 square feet and we’re in negotiations on the remaining 6,000 square feet of that retail. We anticipate delivering building to A&P, Arnold & Porter, per the lease during the third quarter of 2105. At 250 West 55th Street, we ended the year at 79% lease. We continue to have success with small tenants and continuing our prebuilt program on the 38th floor where we’ve done two leases of 5600 square each in the high 90 starting rent. Another 13,000 square feet of prebuilt is under lease negotiation and there good full floor activity on a portion of the remaining floors. Construction at Saleforce Tower continue to progress with the mid 2017 delivery for space at the top of the building were not yet in the window for any lease expiration driven leasing under 100,000 square feet. Our marketing team continue to activity market the building across the bay area both urban and in the Silicon Valley and there is a continuous flow of users that have expect interest in the building and we have commence preliminary conversations with the few large tenants for the building for delivery in 2017. Before I turn the over to Mike, I do want to provide some commentary on our future development pipeline where we really didn’t make a lot of significant progress during the fourth quarter. The press release announced the official commencement of our venture at North Station. We’ve also garnered our first lease commitment for the retail podium. Star market has taken 62,000 square feet to put in a full service grocery store and we are in decisions with the number of other retailers, as well as office tenant for various portions of the podium structure. Design documents are progressing and over the next few months along with our partners at Delaware North, we will determine the phasing of the project and how and when we will sequence the construction. Again, earlier this month we completed an amendment with the state of Massachusetts for the Back Bay Garage leasehold. We agree to a 45-year extension of the ground lease, so it’s now a 99 year ground lease. We agree to prepay the ground rent. We agree to manage the refurbishment of the Back Bay Train Station which will be paid for by this Commonwealth of Massachusetts. We agree to take over the property managing and leasing of the station. And most importantly, we created the mechanism to potential add additional density to our existing Clarendon Street Garage plus a separate parcel adjacent to the train station and the garage. We have not yet advanced any plans for these air-rights parcels nor have we had any detailed conversations with the City of Boston or the local community. This will come as we work furiously over the next year to advance our planning. In San Francisco, we’ve executed an option agreement on a 2.3 acre site at 4th & Harrison and to assist the long term owners, the Barrett family with the permitting process on this block. The site is located in the heart of south of market area and it is two blocks from stops on the new central subway line on fourth streets that connect Caltrans to the city. Based on the pending Central SoMa zoning, approximately 780,000 of office retail and/or residential can be built on this site. We will however require Pro M allocation before we commence development. We are in advanced discussion on the development project in an outer borough Manhattan probably one of the worst-kept secrets in the city, as well as another site in Waltham, Massachusetts that would include building that could be under construction in 2015 and the potential for a million square feet of additional office and retails development, that’s on a joint venture basis. We continue to chase a large GSA consolidation requirement for our Springfield, Virginia landholding and we are in design in permitting for 500 residential units and 25,000 square feet of retail development in the Reston Town Central urban core on our signature site. So as Owen suggested we may not be making much acquisition headway, but we continue to dramatically expand our opportunities to put our capitals to work through our development activities. And with that, I’ll let Mike go through our results for 2014 and our 2015 guidance.
Michael LaBelle: Great. Thanks, Dough. Appreciate it. Good morning, everybody. I’m going to start with the couple of comments on our capital markets activity. As Owen mentioned, we have successful closing of sales of Patriot's Park and the portfolio of sale of 45% interest in Atlantic Wharf, 100 Federal Street and 601 Lexington Avenue this quarter. The returns associated with these deals reflect the strong value creation that we can achieve through the development process, as well as the smart and disciplined acquisition strategy. The unleveraged IRRs we generated with these investments were strong and total 10% for Patriot's Park, which is over 16 year whole period and 15.5% for the portfolio sale. I do want to point that the $970 million gains on sale for the portfolio deal is reflected in our financial statement has an increase in our paid in capital account combined with the decrease in non-controlling interest and property partnerships to account for the debt assumed, and not as a simple gain on sale as you might expect. This accounting treatments stems from the fact that we have maintained operating control of the buildings and we will continue to consolidate them under GAAP. We were also active in the debt market this quarter. We refinanced our $150 million expiring mortgage loan on 901 New York Avenue. The old loan had an interest rate of 5.19% and the new 10-year mortgage loan which is for $225 million, it has a coupon of 3.61%. We locked the rate when 10-year treasury rates were in the 2% range and with rally in rate this we think we can price a new 10-year in the bond market today in the 3.8% to 3.25% area. This quarter we also regained $550 million of our unsecured notes that were set to expire in mid 2015. That resulted in a debt extinguishment charge to earnings of $10.6 million or $0.06 per share in the fourth quarter. This was relatively high cost debt with an average coupon of 5.34% and the redemption was funded with the portion of the net proceeds from our sales activity and was included in our prior guidance. Our projections don’t include raising new debt capital in 2015, but given the low interest rate environment we are evaluating various hedging strategies including both traditional interest rate hedges and potentially early refinancing of a portion of our 2016 and 2017 debt maturities that have an average coupon of 5.8%. Our current cash on hand is nearly $2.3 billion after funding our special dividend of $4.15 per share this week and our forecasted development spend, we project the cash balance at year end 2015 of about $800 million. Turning to our earnings for the quarter, we reported funds from operation of $1.26 per share which is $0.02 per share above the midpoint of our guidance range. The earnings outperformance came from a combination of core portfolio performance and better than projected development and services fee income. The biggest mover in the portfolio was from the accelerated recognition of fair market rental revenue associated with Weil Gotshal, who elected to terminate the 35th of the GM building a couple of months earlier than we have projected. As Doug mentioned we’ve already leased this floor to a new tenant at rent rollup of over 60% that we will have down time in 2015 as the spaces build out. A portion of our fee income this came from the signing of our joint venture agreement at North Station. This enables us to recognize development fees this quarter as well as through 2015 as we finalize the design and plans for the first phase of the project. We also generated better than projected service related fee income this quarter. Overall we had a really strong year in 2014. Our portfolio generated same-store cash NOI growth of 5.6% over 2013. As Owen mentioned we sold $2.3 billion of assets at a weighted average cap rate of 4.25% and we delivered $1.5 billion of new developments that are currently 86% leased and our anticipated to generate an initial cash yield which is weighted by 250 West 55th Street of over 6% on stabilization. In addition we have another $2.1 billion of development underway, with a projected initial cash yield of greater than 7%. And importantly, we’ve already raised the funds required to complete our pipeline which is currently sitting in cash on our balance sheet. As we look at 2015 and as we discussed last quarter we have 580,000 square feet rollover in our CBD Boston portfolio primarily at the Hancock Tower that we anticipate will result in a temporary loss of occupancy and income during 2015. Again, up on releasing we anticipate a significant uptick in rent from the space, but it negatively impacts our 2015 earnings growth. The majority of this space expired on December 31, 2014. So we expect our occupancy to dip down from its yearend level of 91.7% to closer to 90% in the first quarter before recovering and averaging around 91% for the full year. In New York City were successful in our large law firm early renewal strategy in the quarter. We completed three law firm renewals totaling 700,000 square feet, the net space contraction was only 40,000 square feet or 5%. However, one the leases was above market and this in combination with the give-back space we’ll have a negative impact on our 2015 cash NOI. On a GAAP basis these deals have a positive aggregate impact to our earnings due to contractual rental bumps in the leases. In Washington DC we are in contract to sell our residences on the Avenue project for a price of $190 million. We expect closing in early March and the loss of $5 million of FFO to 2015. The FFO cap rate which is 3.1% is lower than the cash cap rate that Owen described due to the impact of the ground lease that contained contractual increases that are straight lined for GAAP FFO. Our projections for the rest of the portfolio are generally in line with our guidance last quarter. Overall we anticipate our same-store GAAP NOI for 2015 to be relatively flat between negative 1% and positive 0.5% compared to 2014 and that’s in line with our guidance last quarter. We project 2015 same-store cash NOI growth of flat to 1% from 2014, that’s 50 basis points lower than last quarter due to the impact of the law firm renewal in New York. As Doug reviewed we saw good progress in our development leasing this quarter. Our developments are projected to add an incremental $53 million to $63 million of NOI in 2015. Our non-cash straight line and fair value lease revenue is projected to be $90 million to $100 million in 2015 and we expect our hotel to generate $12 million to $14 million of NOI in 2015. For our development and management services fee income we’re projecting $17 million to $22 million in 2015, this is slightly better than last quarter due to higher expected development fee income. There’s one item I do want to point out in our fee income that our GAAP fee income excludes cash leasing commissions that we collect on our consolidated joint ventures that in accordance with GAAP accounting, are recognize as a reduction non-controlling interest and more importantly they are amortized over the term of the respective leases which could be 10 to 20 years. If these joint ventures were unconsolidated we would earn the fees in the period the lease was signed. This quarter we collected $7.8 million of these fees, which is reflected in our FAB. We project our G&A expense to be $96 million to $100 million in 2015 which is lower than our projection last quarter. As I mentioned we have no material 2015 debt expirations and our guidance does not assume any additional financing activity during the year. Our net interest expense projections are unchanged from last quarter at $415 million to $425 million for the full year and includes $40 million to $50 million of capitalized interest associated with our development activities. Our non-controlling interest in property partnerships will be higher than in 2014 due to the sale of a 45% in the three asset portfolio to Norges. Because these properties remained consolidated, a 100% of the NOI and interest expenses reported in our consolidated statements and the net income allocated to the non-controlling interest is deducted separately. We have provided a page in our supplemental financial report that reconciles our non-controlling interest so that you can calculate the deduction from FFO. For the full year 2015, we project the FFO deduction for non-controlling interest and property partnership to be $135 million to $145 million. So if you combine all of our assumptions it results in our projected 2015 guidance range for funds from operations to be $5.28 per share to $5.43 per share. Despite the loss of $0.03 per share from the sale of the avenue, we are increasing our guidance range by $0.03 per share at the midpoint. Our guidance increase includes $0.02 per share of projected improvement and the contribution of our developments $0.02 per share from lower G&A and $0.01 of higher development fee income. We have not included any additional asset sales in our guidance. In the first quarter of 2015, we project funds from operations of $1.22 or $1.24 per share. As in the past our first quarter is always our weakest quarter due to the seasonality of our hotel and the timing of the accrual for payroll taxes investing in our G&A. With the addition of the residences on the avenue through our disposition program the aggregate impact from our disposition activity since 2014 is the loss of $72 million of FFO or $0.42 per share in 2015 compared to 2014. In addition, we paid $770 million or $4.50 per share special dividend to our shareholders. Despite this sales dilution we still expect to grow our FFO in 2015 with the strong contribution provided from delivering developments and lower interest expense from reducing our debt which in aggregate add over $90 million of incremental FFO to 2015 at the midpoint of our guidance range. In addition we have retained nearly $1.2 billion of sales proceeds for redeployment in our active development pipeline. That completes our formal remarks; I’d appreciate if the operator would open it up for questions.
Operator: [Operator Instructions] And our first question comes from Michael Bilerman with Citi.
Michael Bilerman: It’s Michael. If we look at the residences at The Avenue sale, you had a comment about NOI support in your press release. Just wondering if you could share some details of what that entails with us 
Owen Thomas: Sure. So the weighted transaction restructured was exactly $196 million purchase price and to the extent that NOI is less than a particular number over the first I think six years of the property performance we effectively have agreed to make up the difference to the tune of a total of and a maximum amount of $6 million. So effectively for purposes of accounting we are only going to book $190 million sale and we have a $6 million receivable effectively there that will if we actually paid out then it will nothing will change if we don’t pay it out last $6 million of additional gain later over the period.
Michael Bilerman: That's helpful. And then maybe just more generally, was wondering if you've seen any changes in the investment landscape across your sort of prime CBD market, especially from foreign buyers? And maybe as a secondary, that if the drop in crude oil prices has led to any more recent changes in that environment?
Owen Thomas: Michael, it’s Owen, I’d say no. I think that I can’t point to a large number of significant trades there, but my expectation is that lower interest rate could make cap rates even more aggressive in our markets. And given that a number of sub and wealth funds are driven by oil revenues that is a very logical question you ask but I haven’t seen any tempering of enthusiasm from there, because of lower oil prices. So we expect that he interest in our core markets by offshore investors will continue into 2015.
Michael Bilerman: Great, thanks guys.
Operator: And our next question comes from Jamie Feldman with Bank of America Merrill Lynch
Jamie Feldman: Good morning. I'm hoping you can talk a little bit more about your comments on New York City. I think you had said you are seeing a pickup in 99,000 square feet and larger leasing activity on Park Avenue. Financial Services firms, boutiques getting a little stronger there. So I guess just kind of big picture as we are thinking about the year ahead, how is Park Avenue stacking up versus some of the other submarkets? And what are tenants -- what is kind of tenant desiring now for like some of the -- for either downtown or for the Hudson Yards versus some of these more traditional submarkets? 
Owen Thomas: John, do you want to take the first crack at that?
John Francis Powers: Sure. Yes James, New York is in terrific shape now and on every measure if you look at tourists, if you look at employment; if you look at the number of people living in the city pretty much every variable is positive. As it reflects the leasing market I think the text are commission very well and you are seeing some expansion on the Midtown south into downtown and also into Midtown particularly the western part. And as Doug said, the financial market on the high end is doing very well also. So the availability rate has dropped about a point and were looking forward to drop all this year.
Jamie Feldman: Okay. Any thoughts on prospects for rent growth in Midtown over the next year?
John Francis Powers: Well I think that we are going to continue to see more upward pressure on rent than balance pressure. The availability rate however historically is still fairly high for rate what I would call event spike or event pop, although you have seen that certainly in some sections of the City and Midtown south certainly on the high end market we have a lot of activity at the over $90 and over $100 number that Doug mentioned that carrier has been cracked in a way it hasn’t been since 2007. So I think that there is still going to be upward rent but perhaps not the rent spike until that availability rate drops down certainly to single digits.
Jamie Feldman: Okay, and then just if you were to think about if the pendulum of demand, how maybe a year ago, Hudson Yards was very interesting to people, talking to brokers and some of the other companies, maybe that swung a little bit more towards traditional Midtown submarkets now, is that -- are you seeing that as well? Or it hasn't really changed?
John Francis Powers: Well the Hudson Yards has been very attractive to the very large users that needed a block of space because finally you have got some space in Manhattan has been very difficult except of course downtown and most of the large, most of the deals done there have been through large organizations to set a land on very large blocks of space. The balance of Midtown has been very active and continues to be active. We’re seeing very good activity at 250 now, 510 is pretty much done. When we get a floor of the GM that went quickly. So, with regard to the occupants of the vacancy we’ve going to have at 399, we’re pretty optimistic on that, that’s the City space and the Morgan real space that were rolling it’s like 17. We are already working on that and we are already seeing good activity.
Jamie Feldman: Okay. And then just a follow up for Michael LaBelle. Can you talk about the better G&A outlook what moved that?
Michael LaBelle: So our G&A for 2014 was about $98 million, $99 million and there was still some costs in there from the transition of the CO that we had. So those costs are basically out of 2015. So 2015 now excludes those costs and has a kind of a general increase that we typically have for our competition.
Jamie Feldman: Okay. All right….
Michael LaBelle: So we basically did, we finalized all of our competition process over the last two weeks and we have put in what we actually have for raises and anticipated bonus accrual for 2015 in the numbers now.
Jamie Feldman: Okay. All right, thank you.
Michael LaBelle: I just want to make one more comment on New York City because I mean I did someone else that would put out a – what’s going on with City. And I want to relate it to what we did, so the reality of the situation in New York is that for large tenant demand there are three primary choices. There’s the renewal in place, there is the new construction on the far west side those have Hudson Yards or a Brookfield's project or there is the new construction and the huge availabilities downtown. The pricing opportunities on those two new constructions of areas are subsidized in some way shape or form how do you want to characterize it. And so, and recognizing that a large tenant with a 2017 to 2020 lease expiration in Manhattan have reason to look at those types of alternative, we made a decision that we were better off trying to cut those deals early at rents that we considered to be market rents for our space when we did that, which basically put our portfolio in the situation that we are now in which is the bulk of the availability that we have is in very small chunks of space in the higher portions of our buildings where we have the ability to achieve more premium rents than we might have had we allowed these various tenants to sign lease expirations that were going to bring them out of those buildings two or three or four years from now where we really didn’t know when we were going to get the space back, what their market conditions might be. So, that those big blocks of space still remain the city and they have an impact on large tenant leasing, but they don’t have that same impact on the single floor at a General Motors building or the single floor at a 510 Madison Avenue or a single floor at 399 or a single floor at 601. So we feel really good about how we have strategically positioned our portfolio in the context of what will likely happen in Midtown Manhattan and downtown Manhattan over the next three or four years.
Jamie Feldman: Okay. And what do you consider the cut off when you say big buck?
Owen Thomas: John, what your deal [ph] 250,000 square feet?
John Francis Powers: Well, yes I would say 250 or more, most of the deals they have gone to the west side or gone downtown have been launched into that. I’d say probably the average size is more like 500, but certainly a 250,000 foot user has few choices in Midtown. There are -- in addition to what Doug said, there are a couple of choices on 6th Avenue, one or two and that was another price point, clearly our renewals were done at a higher price point than that also. But those are essentially the choices that rush tenants out Downtown, Westside something on 6th or stay in place.
Jamie Feldman: And is there a pipeline at all of new 250,000 square foot plus users like anywhere new to the market that’s looking for that much space?
John Francis Powers: Well there’s always new users but when you just shove them further in the future. So the 19s are pretty much done now and people are looking that 20s and 21s research [ph] prices. So those tenants are starting to get in the market interviewing brokers. 
Jamie Feldman: Okay. All right. Thanks for the added color.
Operator: And our next question comes from Jed Reagan with Green Street Advisors.
Jed Reagan: Good morning guys. How is the early law firm renewal process going so far versus your initial expectations, maybe if you were scoring yourself on your internal score card? And how much more of that program do you think you can complete in 2015?
Owen Thomas: Can I jump in on the first one since we look at lot of these? We targeted and we’ve done four out of five and we’re still working on the last one.
Douglas Linde: And in our other markets we had one on Boston which we completed and we have had three in Washington, D.C, one of them is done which I described one of them. We are in negotiation to complete and third one we made the decisions that rental desire to that kind we’re not comparable with where we thought the space would be allowed to be let by other tenant and so we chose to move on.
Owen Thomas: And that doesn’t have an exploration of 2019 Doug.
Jed Reagan: Okay. And the renewal in New York that had a role down was that unexpected roll down or did that come just you doesn’t landed that sooner than you’d initially thought?
Owen Thomas: I’ll give you the specifics there was tenant that did at least 10 years ago and their rent was $135 a square foot and that’s above markets for they were in the building at 599 and we could resell them to at market rent.
Jed Reagan: Okay. And then on the San Francisco option agreement, can you just talk about your expected timeline for moving through the permitting process on that? And if you were successful in permitting, do you feel like that's a project for this cycle potentially or are you more likely looking at a future cycle?
Owen Thomas: I’m going to let Bob answer the question if the site were permitted today it would be just cycle project, but I think that the matter is that it’s not going to get permitted in short order. So Bob, you want to you sort of give a perspective on the permitting process.
Robert Pester: Sure. This site falls within Central SoMa which is the master plan by the city right, that’s not expected to actually be in place until sometime in 2016. They say first quarter probably be beyond that. So it definitely is going to be next cycle project based Prop M allocation and the Central SoMa quarter plan.
Owen Thomas: But this site is in the heart of where all the activity is right now. I mean, if this site were available today, we probably would have significant demand for the larger tenants because of – proximity to the central subway line and the configuration of the site and the fact that we can do a really large floor plate.
Jed Reagan: Boston Properties' move their local offices to that building?
Owen Thomas: I don’t think we have enough demand for the size of floors that this building would allow to have. So we’re probably better off, a more traditional size floor plate.
Jed Reagan: Thanks a lot guys.
Operator: And our next question comes from Brad Burke with Goldman Sachs.
Brad Burke: Thank you. Good morning, guys. Doug, I wanted to know what you’re saying with construction cost and whether it’s more pronounced in any of your markets than the others. And when you talk about building to over 7%, are you expecting much in the way of cost inflation?
Douglas Linde: Okay. Let me answer the question in the following way. As much deflation as there is in the overall economy right now in terms of impacts of oil prices and the impact of other commodities, it’s not being reflected in reductions in construction costs in our markets. And that’s largely due to two things. The first is that the overall amount of activity in our markets on a relative basis is probably higher today that’s it’s been at any time over the past five or six years, so there is more institutional, residential, as well as commercial development going on in New York City, in Washington, D.C, in Boston and in San Francisco than there has been in quite some time. The other thing that has occurred is that during the downturn there were a number of contractors who basically gave up and either went out of business because they decided it wasn’t profitable, or they were forced out of business, because they couldn’t make ends meet. So there are number of quality contractors that are around to do the kind of work that we need to have done has been reduced. And so there has been somewhere in the neighborhood of 3.5% to 4.5% annualized increases in construction budgeting over the past year or so. And that is what we are using as we plan our projects on a going forward and that’s all baked into our numbers. And we really don’t expect to see much in the way of a change in that. In fact in some of the cities, some of the larger projects like the potential casino that’s going to be built in Everett [ph] and the current casino that’s being constructed at National Harbor are major users of both materials and labor and given that the revenue models of those types of projects are such that time is particularly important. They are prepared pay whatever takes to get resources and that impacts the overall availability from a construction perspective in those markets as well. So we’re seeing it and we don’t expect for it to abate further.
Michael LaBelle: Just add to that Brad. On the projects that we have underway which is $2.1 billion that I indicated and Owen indicated had a return of over 7%. The vast majority of the cost associated with those prices have been bought, because those projects are underway. We have GMPs on contracts in place for those projects. So we’re protected on those. The place where cost increases would have more of impact is the future stuff that Owen had mentioned and Doug had mentioned where we’re building that into our budget based upon the timing of when we think those projects are going to happen.
Brad Burke: Okay. That’s helpful. And then…
Michael LaBelle: Yes, just before and there is more [indiscernible] and Owen probably should talk about it, which is, I mean interest in our component and where people’s returns expectations are also sort of a part of this whole process.
Owen Thomas: Yes. Well, look I think that given lower interest rates and lower return generally available in the world, I think that’s going to contribute to compression in the yields that investors are looking for in the development projects, and but that impacting land prices directly.
Brad Burke: And with the 15 basis points decline that was same maybe more than that over the past couple of months. Are you seeing that yet and expectations and the pricing on assets or is it more anticipated?
Michael LaBelle: I think we are seeing it. If you look at land price escalation that’s occurred in San Francisco, I mean, some of it is clearly due to above inflation levels of rent increases that’s driving some of it, but I think some of it definitely driving, is driven by returns. As we underwrite some of the sites that have been – that have sold they certainly are not being sold at least on our underwriting at 7% yield.
Brad Burke: Okay. And then, Mike, as we are looking at the trajectory of FFO over the course of 2015, I think the full-year guidance is coming in line with what a lot of us were thinking about. The first quarter is lower, and I realize there are a lot of moving parts. But I was hoping you could help us think about FFO trajectory over the year, whether there's anything unusual in the first quarter beyond you had pointed out the normal seasonality with the hotel business and G&A? And I know you are expecting -- I think you had said $53 million to $63 million from those recently completed developments. But can you give us a sense of how much of that you are expecting in the first quarter? 
Michael LaBelle: So I would expect that our FFO would improve as the years goes on. As I mentioned in the core portfolio, we expect our occupancy to be at low point in the first quarter and will improve going forward. So I would expect to improve modestly throughout the year. And on the development side, you’re also talking about in the first quarter a contribution of that $53 million to $63 million are being similar in the $12 million to $18 million. And incrementally growing every quarter as we continue to lease up some of the projects like 250 where we’re doing leases on prebuilt that are coming in. The Avant every quarter we’re seeing probably 20 additional units being leased by the end of the first quarter that should be fully stabilized. And then at 535 Mission, we’re going to have lease up. And then in the fourth quarter, we’ve 601 Mass coming on line. So obviously that has an impact on our interest expense, because the capitalize interest for that goes off. But out of the quarter it’s going to paying on their 380,000 square foot lease starting in the fourth quarter. So you’ll see that come into development site.
Brad Burke: Okay. Thank you.
Operator: And our next question comes from Steve Sakwa with Evercore ISI.
Steve Sakwa: Thanks. Good morning. I guess two questions. One, I can appreciate the decline in interest rates is probably push-down return expectations for many sovereign wealth funds. I'm just wondering, has the strength of the dollar perhaps impacted just the actual demand that you are seeing? Or is it too early to maybe have an impact on the sales market? 
Owen Thomas: Steve, I think it’s a good question and I would say, so far we haven’t seen the impact, not to suggest if this continue that we won’t see some impact. If anything I would say, the strengthening dollar has confirm that U.S. has an interesting areas of investment, because it’s added to the return for the investments that have already been made here by offshore investors. But I don’t see yet as an impact on capital flow.
Michael LaBelle: And just the other component of the capital flow as well as that – and it shouldn’t be discounted. It seems like the Canadians have continue to ramp up their interest in U.S. real estate. So we’ve seen CPP and Oxford and now SPQU all make pretty significant investments in fourth quarter or commitments in the fourth quarter to purchase high quality, well located Manhattan Inn and other CBD market real estate. And so the flow of funds from either Asia or Europe or the Middle East or Canada or the domestic pension fund market which is also has found its desire to expand its allocate, and the real estate doesn’t deal like it is flow down whether oil prices were $80 or $90 or $45 or $50 and when the Euro is was at $1.30 or $1.12.
Owen Thomas: The other aspect too is okay, you’re right, the dollars appreciated, but what’s your expectation for what is going to do from here. Everywhere else around the world as we talked about our going down, yet there is certainly a lot of discussion in the U.S. about when rates are going to be increase. So the positive expectation for the future dollar appreciation is also affect, I’m sure it’s being looked at.
Steve Sakwa: Okay. And I guess secondly, as it relates to development, I mean, I know that over the 40-plus years Mort's been building, you guys have generally had a relatively conservative stance towards development business. And Mort was able to navigate the waters in the kind of late 1980's, early 1990's. As we kind of move later into the cycle, are you guys thinking about development any differently? Or has the conservative stance you've always taken just something you could continue to do, or do you make any changes over the next couple of years?
Owen Thomas: I would say Steve that our pension for having strong pre-leasing commitments prior to commencing construction has really been a pretty consistent fanatic way of approaching development. And while it is true that in San Francisco we started 300,000 square foot building on spec, aside from that there really hasn’t been any other development of significance has been done without major pre-leasing effort. We continue to believe that we are pricing our development properties at a level that is a great in value for the tenants that are our customers. And we’re feeling pretty good above where we are from a business cycle perspective in those markets where we’re building new buildings and where those particular locations are. But we clearly – it’s been now six or seven years since we obviously had a “recessions” at least from statistical perspective. So we’re cognizant of what’s going on across the market and we’re also cognizant and as everyone here has described where our overall leasing efforts are on the developments that we’ve commenced. And there is a strong focus on making sure that those things get leased before we put ourselves in a position where we’re adding additional exposure to the portfolio.
Michael LaBelle: And I would add to that Steve if you – it’s certainly not going to always be the case and we do have landholdings in the company. But lot of what we’ve been doing lately our joint ventures with landholders, the transaction that we did talked about in San Francisco involves an option to purchase lands, that we’re also not employing at least in the some of deals, capital to purchase lands, at least upfront.
Steve Sakwa: Okay. Thanks.
Operator: Our next question comes from Richard Anderson with Mizuho Securities.
Richard Anderson: Market in New York driven by the Princeton activity, what would say a normalized kind of mark-to-market would be when you look at your New York City, Manhattan portfolio today?
Owen Thomas: And this is a first part of your question, but I think I’ve answered this question in past quarters and I don’t the answer is changed, which is it is highly dependent on the building. So as we look at the portfolio, the largest exposure we have from a positive mark-to-market is at 76 [ph] Fifth Avenue, the General Motors building, where we had and we talked about this when we purchased the building back in 2008 where we had close to a 1 million square feet of that, almost 2 million square foot building that was let it at rents in the mid to low 80s. And so, there’s enormous mark-to-market that dwarves everything else. The deals that we’ve been doing at 601 Lexington Avenue under margin have been a positive mark-to-market, not a significant one. As 599 has been a negative mark-to-market on the transaction we’ve done recently with these law firms because most of those yields were done in that 2005, 2006 time frame when market had been exposed to a pretty significant spike. And then everything that we’ve done in, a smaller building 510 Madison, 540 Madison and he pre-builts and the other deals that we’ve done in 250, at this point today, very positive mark-to-market.
Richard Anderson: Okay.
Owen Thomas: Not a 20% but – so if we did a deal in 2011 at $95 a square foot at 510 Madison Avenue that business probably $150 a square foot today, that kind of mark-to-market, but we’re not going to see that for while.
Richard Anderson: Okay. Regarding the resident sale, understand you guys are thinking for 2015 that your dispositions will be primarily driven by non-core type of assets to make up the 750 for this year. Is residence a non-core asset to you because its non-office or was that just the price you just couldn’t refuse?
Douglas Linde: Yes. So the categories for the sales are as you suggest non-core, there are also assets where we think it’s an interesting price. The Avant is a new asset. It’s in a great location. It is residential but I wouldn’t necessarily say we considered non-core for that reason. The issue is we got or the attractiveness to shareholders as we received the 4.1% cap rate on a Class A asset that’s on a 54 year remaining ground lease and we thought that was attractive.
Richard Anderson: And what about….
Douglas Linde: And I also just before you go on – I just say this, the following about our residential business. So we are a developer. We are not an owner manager in the residential world. We don’t have the portfolio size to be great at operating residential. We don’t have the portfolio size to be creating a business that strategic from the perspective of, well, there’s a need to have a certain massive units to sort of maintain an operating platform. So we look at the residential business as a way to utilize our development prowess to create a lot of value. In infill locations, in our market. And so to the extent that we don’t deemed there to be strong overall growth in those assets, overall foreseeable point in the future and someone, as Owen said, offers us a terrific price, we’re going to sell those buildings. So it’s very different than the way we think about our Midtown Manhattan office or our Back Bay officer portfolio or Reston, Virginia office portfolio which have a lot of continuity and operating leverage about them that creates them to be “strategic” as oppose “non-core”.
Richard Anderson: Is Princeton long term non-core?
Douglas Linde: Princeton is a terrific portfolio that is well run now by our New York City region. It’s no longer a region in itself which made a lot of sense and created some synergies from an operating expense perspective which has you’re seeing the flowing through our G&A to some degrees. And as long as we continue to believe that this Princeton market will continue to expand from a user perspective and we are seeing marginal to positive rental rate growth and we still have the ability to develop buildings which allow us to create assets that are yielding significantly higher than what we could sell assets for to some third-party, we’re continue to look at as a important portion of the company’s portfolio.
Owen Thomas: And they also I think Princeton, you have to differentiate between Carnegie Center and Tower Center which are different assets and as Doug suggested we’re seeing positive leasing momentum at Carnegie Center, we were investing in the buildings. We started to build-to-suite and we have options on additional development land.
Richard Anderson: Last question at Salesforce you mentioned conversations going on? Are any of those conversations with Salesforce to take on more space?
Douglas Linde: We’re not going to comment on any particular conversation with any particular tenant, it’s not appropriate.
Richard Anderson: Okay. We got it. Thanks.
Operator: And our next question comes from Alexander Goldfarb with Sandler O'Neill.
Alexander Goldfarb: Good morning. Two questions. The first one, Doug, you sort of opened the door on the worst-kept secret in New York. So, if there is any color that you can provide at this point on the Naval Yards. And in the Forbes article, it mentioned a partnership with We work in San Francisco and maybe Boston. If you could just provide a little bit more color on that?
Douglas Linde: So Alex, unfortunately, we’re not – like I said, we’re not in a position of talking about what we’re doing in the outer boroughs of New York, so we can’t comment on what other peoples have written. But we hope that we’ll be able to announce something sooner rather than later. We did a release. We were in straight lease with work in San Francisco at [indiscernible] condition. And at this point that’s the only transaction that we currently have in our portfolio with that organization.
Alexander Goldfarb: Okay. And then the second question is, going again to the declining – sorry, to the strengthening dollar, declining foreign currency. Does where the dollar has gone versus the pound, does it make you guys possibly want to reconsider looking at London or you've firmly sworn off that market and are only looking domestically?
Owen Thomas: Alex I don’t think the dollar pound moments are driving any thinking we’re having about investing in London.
Alexander Goldfarb: Okay. So you’re only looking domestically, you’re not – you put London off, it’s not in the strategic view anymore?
Owen Thomas: That’s not what I said. I said we’re not making investment decisions in London or elsewhere based on currency fluctuations.
Alexander Goldfarb: Okay. I appreciate that clarification, Owen. Thank you.
Operator: Our next question comes from Brendan Maiorana with Wells Fargo.
Brendan Maiorana: Thanks. Good morning. Mike LaBelle, I apologize because I'm splitting hairs here, but you mentioned average occupancy for the year at 91%. I think last quarter you said 91% to 92%. So I'm not sure if that's actually a change or just 91% is still within the range. And I think you previously expected to end – have a year-end occupancy around 93%. Does that projection still hold?
Michael LaBelle: I think we have – we did bring it down a little bit. We did say, 91% and 92% last quarter. We still hope to increase our occupancy getting to the 93%, I think will be pretty thought to be honest with you based upon where we’re think we’re going to be in the first quarter, and the fact there are lot of space that we’re getting back in Boston which is again the majority of this, its highly marketable but it’s going to take a little bit of a time to lease and its going to take – somebody is going to have to build that space. So, we do not anticipate that, that space is going to be occupied in 2015, it’s going to be 2016 and later. So I would agree that we brought it down a little bit and we think it’s going to average around 91%. It should end above 91%.
Brendan Maiorana: Okay. That’s helpful. And then Doug you mentioned in Boston, you mentioned at the base of Hancock good activity there. I think you also have 200,000 or 300,000 square feet at the Tower that Mike alluded leasing there. Can you just shed some color on how conversations with perspective tenants are going for the top of the building?
Douglas Linde: It’s some of the best place in Boston we are as we know we like the sort of commonly say baking the cake before we try and serve it at the base of the building with our new rebranding and our new identification of 120 Clarendon Street sort of that new address for those larger floors at the base of the building and we continue to sent proposals on that base at a pretty significant pace. I think the space at the top of the building, right now it’s a little bit challenging to have conservations because this space is currently occupied by tenant that’s going to moving to the low rise, and when you tour the space its fully occupied with an installation that was build 10 years. It’s not what somebody sort of things about when they want to be in the kind of space that the Hancock will offer you. And so it’s a little bit of a challenge but we also try and bring people to the floor to bottom below them which are just fantastic. But back to the market for that space will be slower than we think the market will be for the space at the base of the buildings that have an attractive value that the place has with the market.
Brendan Maiorana: Yes I think you guys is it April when they moved down, so kind of your expectations on leasing that, do you think it’s maybe a 12 month process to get that leased not a tenant in the space, but just kind of leased?
Owen Thomas: I hope we are leasing people who aren’t listening because we had with them or the lease environment where our projections are at different ends. Our view is that the space is going to get leased really, really quickly; our revenue recognition is going to be a different story. So our view is that we’re going to have really good strong leasing on the space in calendar year 2015, some of those leases may have started for 2016 or later just because of the realities of when these expirations occur in the market place. We just don’t know if we’re going to – if we do the space on our [Indiscernible] leasing will probably be a little bit slower but the revenue recognition will be quicker and if we do a larger block of space that revenue recognition will probably be a little bit slower but the leasing and will be quicker.
Brendan Maiorana: Sure, okay thanks for the time.
Operator: And our next question comes from Vance Edelson with Morgan Stanley
Vance Edelson: Good morning. First back on 425 Fourth Street regardless of entitlement timing which your provided some color on, how good do you feel about the process itself and the Prop M allocation if you had to rate it somewhere between a slam dunk and very challenging?
Owen Thomas: Bob, you want to take that one....
Robert Pester: Yes there is a queue of 10 million square feet of space to seek in Prop M allocation. I mean this is a fantastic site; it’s a great location the city is going to look to the transportation quarter or in the benefits of being on the transportation corridor. But it’s going to take some time I mean this is not something that’s going to happen very quickly, it’s going to take several years to get approved.
Vance Edelson: Okay it makes sense. And then related to that can you share with us anything or on the potential magnitude of the project what it would be if you got all your wishes that you have put for us on the entitlement, could you ballpark the potential investment?
Robert Pester: It will be approximately 7… go ahead Doug.
Douglas Linde: Yes we’re really – I mean basically we don’t like to get in front of the jurisdictions that we’re dealing with, so the current Central [Indiscernible] plan allows for around 750,000 square feet of space, residential office and retail, where at this point is unclear what the right plan should be for the property vis-à-vis is what we think where the market wants the space to be designed and what the city would like to see happen there. And those two conversations that are going to take place over the next “months and years”. Big picture, construction cost for new development in San Francisco are probably including land the whole on the armadillo are well in excess of $800 a square foot.
Vance Edelson: Okay thanks for that. And then shifting gears could you comment on how important New York Street level retail is going to be for Boston properties going forward, is rental growth there something you are optimistic about and therefore is that a presence you’d like to perhaps grow overtime?
Owen Thomas: I think we’ve had this topic of conversation before and I want to make sure I’m consistent with what I have said before. We have a terrific portfolio of retail space with high opportunities for value creation in our existing buildings in Midtown Manhattan namely at General Motors building and at 601 Lexington Avenue and potentially at 399. That’s where the focus of our investment is going to be, so if the question was sort of way to say are we going to be doing what Renado and SL Green and others have done in terms of going after Street we feel Condominium interest in and around the City of New York, I think the answer is at this point we’re busy doing our own portfolio and looking for larger scale opportunities to put development dollars to work.
Vance Edelson: Okay. And yes, you did get the just of the question. And then lastly on G&A it sounds like you have a pretty good forecast and process, what are the main variables that could push it to the high or low end of the new guidance range which is understandably fairly healthy at this point in the year, and do you think there is any chance you could exceed or come in below the range?
Owen Thomas: I think that one of the wildcards in that is that always capitalized wages, and given our development pipeline I think we view that our development team and construction and leasing teams are going to be very, very busy doing transactions. So we have estimated that they are going to be and that’s going to benefit that G&A. I think we are comfortable with the range that we have provided certainly, so I would be very surprised if you see something outside of that range. And the other tricky piece of this is that our – if we do a joint venture we don’t necessarily have the ability to recognize that capitalize wage expense. So if some of these properties turn out to be JVs versus wholly owned assets that they can skew the numbers not insignificantly by hundreds of thousands of millions of dollars on any one project in the year.
Vance Edelson: Okay. I’ll leave it there, thanks very much.
Operator: And our next question comes from Ian Wiseman with Credit Suisse.
Ian Wiseman: Good morning. Just two questions, first on Salesforce Tower where would you guys expect to end the year with additional leasing in 2015?
Owen Thomas: Ian, I would say that we expect to end the year not to similar to where we are today unless a large non-traditional lease expiration driven transaction occurs. So our view is that as we get to the end of 2015 that’s when we are going to be in the heart of the procurement of leasing conversations with existing lease expirations here with tenants, but that doesn’t mean we won’t have another other type of transactions from a user who is looking for big block of space and says, -- there aren’t any big block of space so we are tantalized by the opportunity to be in Salesforce Tower and we engage in a conversation with them early on that. So that could happen, but it’s not really part of our expectations. In the first quarter of 2016 we would hope that we will have some additional leases done.
Ian Wiseman: Got you. And just one last question, just as I think about potential refinancing down the road you’ve got about $2.7 billion of debt on three buildings maturing I think in as I said 2017 at a 5.7% [ph] rate the ten years below 17% today. How should we think about sort of fast tracking some of that refinancing early on and how much capital you think you can pull out of those buildings?
Owen Thomas: Well I think that as I mentioned on my notes, this is something we are clearly evaluating. I mean one of the things we are watching is what’s going to happen to the 10-year over the next three months, six months, nine months, and we are watching it very closely because we clearly have the opportunity to try to do a financing early. Now there is a significant prepayment penalty associated with repaying this debt early. And if you were to do the analysis some of these debts in 2017 if you did it early your breakeven point is 75 basis points to 125 basis points on the 10-year from now until mid 2017. And if you look at the forward curve it’s telling you it’s going to be 50 or 70 basis points higher than that. So it’s hard to make the decision at this moment in time to go and do that – pay that kind of prepayment penalty, however I think as we need to focus on, think about how we can hedge that risk. So you – thinking about interest rate hedges and as we get closer and our view of interest rates may change you may see us in 2015 take some of that financing off the table and do something early.
Ian Wiseman: Ex the prepayment penalty, just where do you think you can get financing for those buildings today?
Owen Thomas: In terms of size?
Ian Wiseman: Well just rate.
Owen Thomas: Well we do a ten year bond today at three and eight three and a quarter something like that. Mortgage is not that dissimilar maybe it’s 3.5%, maybe a little bit higher some of the Life Insurance companies are trying to hang on the floor rates, so some of those floors are in the mid high threes and once you start getting them competing I think that sometimes that goes away and then the CMBS market is also a very effective financing source right now. So on the mortgage side because with 5 million in Lex, which is expiring and one of those explorations in GM building, both of those are probably going to be secured mortgages, ones JVs and one had a lot of mortgage tax to be paid that has time [ph] so we would look at that life company or the CMBS market which again is probably in the mid three somewhere. That’s a significant savings from the weighted average coupon of 5.8% today. The reason I gave 5.8% is we also have a more use on [Indiscernible] that is coming due in 2016 that we should be able to improve the rate on that as well.
Ian Wiseman: Got you. Thank you very much.
Owen Thomas: Yes.
Operator: And our next question comes from Vincent Chao with Deutsche Bank
Vincent Chao: Hey good morning everyone. Just a final question, I hope, on sort of capital flows and whatnot. Given the comments about foreign buying demand, at least not seeing any change in it today, and also your comments about cap rates continuing to -- or potentially continuing to compress on the back of the 10-year, has that caused any material shift in those types of buyer's appetite for assets beyond just the core gateways? And then maybe a corollary to that, the acquisition market has been tough for you guys for a long time. Have any other markets outside of your current core become more interesting to you recently? 
Owen Thomas: So the first question is given that how cap rates are coming down, our sovereign wealth funds or offshore buyers looking at non-core markets are taking more risk. My view of that is I don’t think I think the perimeter is probably staying pretty much the same. I think core gateway cities is still a primary focus for offshore investors. That being said I do there is a little bit of a trend for some of these groups to go up the risk curve. So I think you are seeing here particularly in New York there have been a number of Chinese investors who have gotten involved in development projects. So I think if there is a I don’t think it’s a change but I think if there is somewhat of a trend as you might see more offshore buyers moving up the risk spectrum in their real estate investing in core markets. And then on your second question is, does the aggressive pricing in our core markets today lead us to look at transactions or acquisitions outside of the core markets? As we have mentioned in the past there are a small handful of other cities and areas that are interesting to us because they have certainly they have a strong creative tendency which is driving a lot of growth in the office business today and also these market demonstrate value creation for real estate and office in particular over a long period of time. So we are consistently and constantly looking at that type of thing, but the issue is the pricing that we described in our core market isn’t substantially different in these new markets I mean the offshore investors are also very active in a number of these places. So I don’t think we would do that because pricing is really substantially different.
Vincent Chao: Okay. Thank you.
Operator: And our final question comes from Ross Nussbaum with UBS.
Ross Nussbaum:
Douglas Linde: This is Doug. I think the stated operating philosophy that we have had since the great financial distress of 2008 was that we should make sure that our dividend is appropriately sized vis-à-vis the taxable income. And that to the extent that our taxable income should be going up, we would be increasing our ordinary dividend. And one of the things that happen when you sell what was the number Mike?
Michael Walsh: $73 billion.
Douglas Linde: $0.72 a share of earnings on your taxable income doesn’t go up as large as much as it might. So it gives push into a return of capital based upon the gains on sale, which I guess are we consider to be a very good thing. So it’s retarded the overall growth in our taxable income and to the extent that that is no longer part of our operating strategy from a capital recycling perspective the dividend is going to go up. Overtime if you look back, Mike what is it ten years? The average dividend yield for the company has been I think over 4%. So relative to where other dividends are and certainly in our space we think we have a pretty healthy dividend, it just comes in a little bit of bulkier manner as opposed to a constant recurring dividend yield that’s been paid out on a quarterly basis.
Ross Nussbaum: And as you pointed out…
Douglas Linde: Yes and I think we’ve had special dividends in like five of the last ten years. So if you look at that together with the regular dividend than our dividend yield is significantly higher than otherwise.
Ross Nussbaum: Yes and that all makes perfect sense. And if I had been a shareholder for the bulk of that period certainly I would have been rewarded for it, but I am thinking in terms of if I may potential shareholder looking at buying the stock can I rely on getting those special dividends kind of every other year, every three years or what I like to have little bit more security or higher recurring dividend or a better balance between those two in the future.
Douglas Linde: If we don’t sell you will have a higher dividend because the earnings will be significantly higher, but if we continue to sell you will continue to get dividend in the form of a return of capital or gain on sell.
Michael LaBelle: And as the cash flow comes in on your developments, the $2.1 billion that is going to be delivering between 2015 and 2018 I mean that goes right into our taxable income as those cash flows come in, so that will be its nature increase our taxable income and require an increase in our dividend overtime. I mean such if during that period of time we think that sales are the right strategy, then we might have specials.
Ross Nussbaum: Thank you.
Operator: At this time, I would like to turn the call back over to management for any additional remarks.
Owen Thomas: Okay. Well that concludes our remarks and Q&A as hopefully we were able to demonstrate, we’ve made terrific progress executing our business, we increased our guidance for the year despite announcing a significant asset sale and we thank you all for your attention.
Operator: And this concludes today's Boston Properties conference call. Thank you, again, for attending, and have a good day.